Operator: Welcome to the Xcel Energy fourth quarter 2010 earnings conference call. (Operator Instructions) As a reminder, today's conference is being recorded today, January 27, 2011. I would now like to turn the call over to Paul Johnson, Managing Director of Investor Relations and Assistant Treasurer.
Paul Johnson: Thank you and welcome to Xcel Energy's yearend 2010 earnings release conference call. I am Paul Johnson. With me today are Ben Fowke, President and Chief Operating Officer; Dave Sparby, Vice President and Chief Financial Officer; Teresa Madden, Vice President and Controller; Scott Wilensky, Vice President, Regulatory and Resource Planning; and George Tyson, Vice President and Treasurer. Today we plan to cover our 2010 yearend quarter results, provide a business update and reaffirm our 2011 guidance. Please note there are slides that accompany the conference call which are available on our web page. I want to remind you that some of the comments that we make today will contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and in our filings with the SEC. You'll note that today's press release refers to both GAAP and ongoing earnings. 2010 ongoing earnings per share were $1.62 compared with $1.50 per share in 2009. 2010 GAAP earnings per share were $1.62 compared with $1.48 in 2009. We believe that ongoing earnings, which remove the impact of our discontinued company-owned life insurance program, Medicare Part D and discontinued operations provide a meaningful comparison. As a result we will discuss ongoing earnings during this call. Please see our earnings release for a detailed reconciliation of GAAP and ongoing earnings results. I'll now turn the call over to Ben Fowke.
Ben Fowke: Thanks, Paul, and good morning everyone. I'm pleased to announce that Xcel Energy enjoyed another successful year. I'll touch on few of the highlights and Dave will discuss our detailed results in a few moments. As Paul just mentioned, we reported 2010 ongoing earnings of $1.62 per share compared with a $1.50 per share in 2009. We feel good about delivering earnings results in the upper half of our 2010 earnings guidance range of $1.55 to $1.65 per share. This marks the sixth consecutive year that we've met or exceeded our annual earnings objective. We were also successful in meeting other financial objectives. We raised the annual dividend $0.03 or 30% to $1.01 per share, and our credit ratings also improved, as S&P raised its rating on Xcel Energy and three of our operating companies by one notch. In a year where we experienced hot weather throughout our system, I am proud that we maintained our system integrity and once again delivered a high level of customer service. We achieved a customer satisfaction rating of 92% for the third consecutive year. In 2010, we completed two major construction projects: Comanche 3, an 800-megawatt coal plant in Colorado; and Nobles, a 201-megawatt wind farm in Minnesota. We also began construction on the CapX2020 transmission project. In addition, we finalized the purchase of two natural gas plants in Calpine. This asset acquisition will save our customers' money in the long run and will also be accretive to 2011 earnings. We were able to finance this transaction and other components of our growth strategy by raising $1.9 billion in the debt and equity market at very attractive rates. Lastly, I'll provide a few comments regarding the Clean Air Clean Jobs Act in Colorado. In December, the Colorado Commission approved a plan for PSCO to reduce annual emissions of nitrogen oxide by at least 70% to 80%. The plan is designed to achieve this goal through a combination of retiring older, less efficient coal plants, returning to natural gas and installing emission controls by 2017. The primary difference between our recommendation and the CPUC approved plan has to do with Cherokee Unit 4. Under the approved plan, we will fuel switch Cherokee Unit 4 to natural gas. The Commission also provided for a recovery on construction work in progress and future rate cases. In addition, they incurred stakeholder meetings to discuss a multiyear rate plan. In January, the Colorado Air Quality Control Commission approved the cooperation of the Clean Air Clean Jobs plan into Colorado's Regional Haze State Implementation Plan. Next in the process, the Colorado legislature must approve the State Implementation Plan. Upon legislative approval, the State Implementation Plan will be sent to the Governor for his signature. Our total investment for the plan is estimated to be approximately $1 billion over the next seven years and is expected to increase customer bills on an average by about 2% annually. I think this is another great example of our ability to work with key stakeholders to arrive at a creative solution to reduce emission while ensuring timely recovery of cost. In summary, this was a really great year for us. I'll now turn the call over to Dave Sparby who will walk you through our results and provide a regulatory update.
Dave Sparby: Thanks, Ben. Let's now take a look at details of 2010 starting with a review of the annual financial results at each of our operating companies. Earnings at PSCO increased by $0.14 per share in 2010. The increase was largely due to new electric rates in warmer summer temperatures, partially offset by higher O&M, depreciation and property taxes. At NSP-Minnesota, earnings decreased by $0.04 per share for the year, largely due to higher O&M, depreciation and property taxes, partially offset by warmer temperatures, incentives under our conservation programs and weather-normalized sales growth. Earnings at NSP-Wisconsin decreased $0.01 per share due to fuel recovery and higher O&M expenses, partially offset by warmer-than-normal temperatures and the implementation of new electric rates. Earnings increased $0.02 per share at SPS due to electric sales growth, the reversal of previously established fuel cost allocation reserves and lower interest expense, partially offset by higher O&M expenses. Now, I'd like to discuss the drivers that affected various lines of the income statement, beginning with retail electric margin. Electric margin increased by $408 million for the year. Approximately $228 million of the improvement in electric margin was due to the implementation of new rates in Colorado, Wisconsin, South Dakota and New Mexico. Warmer-than-normal temperatures in 2010 compared with cooler-than-normal temperatures last year resulted in a $65 million improvement in electric margin. Conservation and DSM revenue, which is partially offset by expenses, contributed $72 million of the improvement. Finally, retail sales, adjusted for weather and the sale of our Lubbock distribution assets, increased 1.4% and contributed $18 million of improvement in margin. Other factors that had a smaller impact on 2010 electric margin are detailed in our earnings release. Turning to our natural gas business, margins increased $20 million for the year. The increase was driven primarily by conservation revenue, which is largely offset by conservation and DSM expenses. In addition, we implemented new rates in Minnesota. Higher costs partially offset the increases in electric and gas margin. We are investing significant levels of capital, which is growing rate base 7% annually. As you'd expect, this is resulting in additional O&M, depreciation and interest expense. In 2010, our O&M expenses increased $149 million or about 8%. As a reminder, we decided to invest additional O&M in our generation, transmission and distribution system after a summer of prolonged hot weather. We made those investments to ensure that our customer service and reliability remain at levels our customers have come to expect. Approximately $77 million or roughly one-half of the increase in 2010 O&M expenses came from higher plant generation, nuclear plant generation and nuclear outage costs. These costs increased as result of higher levels of maintenance and overhaul work, incremental operating costs associated with new facilities and increased security costs for nuclear plants. Other factors contributing to the increase in O&M expense included $24 million of higher labor cost, $18 million of higher contract labor cost, $15 million of higher employee benefit cost largely, due to rising pension cost, and other items on totaling an increase of $15 million. Looking ahead at 2011, we project our O&M expenses to increase approximately 4%. Now, also offsetting the improvement in margin, depreciation and amortization rose $41 million or about 5%. The increase was related to Comanche 3 going into service in the second quarter and our continued investment in our utility system. Turning to income taxes, our effective tax rate on income from continuing operations came in at 36.7% and was 160 basis points higher than last year. The effective tax rate experience from 2010 was due to the following items: the elimination of tax benefits from Medicare Part D subsidies and an adjustment related to the COLI Tax Court proceedings. Those items were partially offset by the reversal of evaluation allowance for certain state tax credit carryovers. We anticipate that our 2011 effective tax rate will be in the 34% to 36% range. Now, let me give you an update on our pending rate cases. In November, we filed a request at Minnesota to increase electric rates approximately $150 million or 5.6%. The filing is based on a 2011 forecast test year and 11.25% ROE, a rate base of $5.6 billion and a 52.6% equity ratio. We also requested to increase 2012 rates by an additional $48 million for known and measurable cost increases. Interim rates of $123 million subject to refund went into effective earlier this month. We anticipate a decision from the Minnesota Commission in the fourth quarter of 2011. In December, we filed a request to increase electric rates in North Dakota by approximately $20 million or 12%. The filing is based on a 2011 forecast test year, a requested of 11.25% and electric rate base of $328 million and an equity ratio of 52.6%. We also requested to increase 2012 rates by additional 4 million or 2.6% to recover certain known and measurable cost increases. In January, the North Dakota Commission approved our request for interim rates of approximately $17 million effective in February. We anticipate a decision from the North Dakota Commission in the fourth quarter of 2011. Now in December, we filed a request to increase Colorado retail natural gas rates by approximately $28 million. The request is based on a 2011 forecast test year, a 10.9% ROE, a rate base of $1.1 billion and an equity ratio of 57%. We anticipate a decision later this year with new rates effective this summer. In Texas, we have revised a request to increase electric rates by approximately $48 million on a net basis. The filing is based on a 2009 test year adjusted for known and measurable changes and 11.35% ROE, a rate base of a little over $1 billion and an equity ratio of 51%. We continue to work with the various parties on a potential settlement. Last week, on behalf of all parties, we filed a motion to abate the procedural schedule to allow time to complete settlement negotiations. The parties agree to set February 11 as a deadline to file a stipulation or a status report. Interim rates subject to refund or the ability to surcharge will be in effect in the middle of February. Looking ahead, we plan to file New Mexico electric and PSCO wholesale rate cases in the upcoming months. We will provide additional details on these cases as they become available. In summary, this was another great year for Xcel Energy. We delivered on our financial objectives. We maintained historically high levels of customer service. We met or exceeded our energy efficiency and conservation program target. We completed a forward equity sale and issued bonds at record low coupon levels. We completed construction projects on time and on budget. We acquired two natural gas plants. And we agreed to a comprehensive plan to invest $1 billion to reduce emissions in Colorado. Our efforts were also reflected in our stock price. For the third year in a row, shares of Xcel Energy outperformed our peer group of mid-to-large cap regulated utilities. When taking into account the reinvestment of our dividends, we delivered a total return of more than 16%. We expect continuing success in 2011 and are reaffirming our earnings guidance of $1.65 to $1.75 per share. Please note there are modest adjustments to the earnings guidance assumptions included in our earnings release. These changes largely reflect our current information and 2010 actual results and will not have a material impact on our projected results. This concludes my prepared remarks. We are now ready for your questions.
Operator: (Operator Instructions) And our first question does come from the line of Michael Worms with BMO.
Michael Worms - BMO: Just a quick question for you. Can you talk a little bit about the political environment in Colorado? I believe I read somewhere some were talking about perhaps trying to reduce the renewable standard going forward.
Ben Fowke: There is a number of legislation that's been introduced in Colorado, and that's one of them. I think they want to roll it back. You may recall though that just last year the 30% standard got passed. So we really don't think that will be successful. I think one of those things we probably need to do a better job of, Michael, is communicating with all stakeholders, particularly with some of the controversy around Clean Air Clean Jobs, just how affordable renewables, particularly wind, in all our service territories are, because it hasn't cost customers' money. We think it's positioned us very well for the future, as you know. That's a long answer. The short answer is that we don't think it will pass.
Operator: And our next question does come from the line of Paul Ridzon with KeyBanc.
Paul Ridzon - KeyBanc: One of the changes in the assumptions was the interest expense decline. What's driving that? Is that lower rates or is that lower (inaudible).
Ben Fowke: It was the actual results reflecting our bond sale in Colorado plant.
Paul Ridzon - KeyBanc: And it looks like the Wisconsin debt issuance is no longer in the financing plans. Has something happened there?
Ben Fowke: No, it's just more recent information updating our models.
Paul Ridzon - KeyBanc: Ben, you talked a little bit about it, but what kind of controversy are we getting around Clean Air Clean Jobs? And do you think that's going to go in there?
Ben Fowke: I think it'll pass. I think the controversy is really kind of localized in our service territory that are mining. And as you know, the Act itself had a bit of a controversy nationally, the kind of a battleground for coal versus gas. And so I think we are seeing a little bit of the residual of that. We had to do something to meet the haze requirements. I think we did a very balanced plan. And I think when you look at the facts, we're still going to burn coal and we are going to modernize the infrastructure, which a lot of this is about, and address haze and other things. And we made a decision to put some pollution control equipment on more modern plant with the later vintage, but some of these plants that frankly go back to the ice and hot era and are right in the heart of the city, we just determine that it was better to re-power and use those sites, but go to gas and rebalance our portfolio. Last year, with Comanche 3 coming on, a very new modern plant at a price point, we burnt more than 70% of our energy in coal. So this allows us to rebalance the portfolio, modernize and do all the good things and I think at a very good price point for our customers. However, it is always the local few that aren't happy. And that's what I think you are seeing here.
Paul Ridzon - KeyBanc: And just separately, given that (inaudible) has involved the DEI, what's ceasing with regards to any action on how ETI views EPA's upcoming actions in potential for delays or what could be happening there?
Ben Fowke: Well, I think what Dick and the industry will concentrate on is trying to get a comprehensive and reasonably balanced approach to addressing some of the environmental regulations that are coming out. Whether that's delays or whether that's just moving to more of a system versus the plant-by-plant approach, I think as a group we are working to get consensus on that. What we don't want to see is an avalanche of regulations coming out with very tight timeframes and very low flexibility coming upon the industry at a time when that all just raised costs necessarily. So I think what Dick will try to do and what the industry will try to do is come out with a more sensible economically based plan to address some of the concerns. It won't be easy, Paul.
Paul Ridzon - KeyBanc: I assume you had some preliminary discussions with EPA. Do you have a sense if there is any flexibility there? It sounds like they're still going to pretty rigid.
Ben Fowke: To the extent, they want some flexibility. I think it remains to be seen. I mean there is discussion, but there is nothing concrete I can point to at this point of call.
Operator: And our next question comes from the line of Travis Miller with Morningstar.
Travis Miller - Morningstar: You guys obviously have some good growth, especially in your guidance here coming up next year. Can you give us some idea of how much of that growth in your guidance estimate is AFUDC non-cash earnings and how much would be cash earnings from these rate increases that you've got proposed coming in from 2011 activity?
Ben Fowke: Travis, AFUDC is expected to be relatively flat in 2011. So really it's more a reflection of sales growth, rate increases, rider revenue, things like that.
Travis Miller - Morningstar: On the rider part, can you give us some idea of percentage contribution from rider?
Ben Fowke: Riders are expected to increase about $35 million in 2011.
Operator: Our next question comes from the line of Ali Agha with SunTrust Robinson Humphrey.
Ali Agha - SunTrust Robinson Humphrey: What was your actual earned ROE in 2010 compared to the authorized numbers right now?
Dave Sparby: Ali, at the operating company, they stretch from the mid-8s to over 10. At the holding company level, they are a little over 10 for 2010.
Ali Agha - SunTrust Robinson Humphrey: And the guidance you have for '11, what's kind of implied or embedded in that as far as ROEs are concerned?
Dave Sparby: We are anticipating fairly close to 10 at the holding company.
Ali Agha - SunTrust Robinson Humphrey: Not a significant improvement year-over-year?
Dave Sparby: Well, there is a little improvement I guess. I am factoring out the weather in that.
Ali Agha - SunTrust Robinson Humphrey: So the numbers you quoted for '10 were not weather-normalized, those were actuals; and in '11 you're assuming normal weather? Is that the way to think about it?
Dave Sparby: Yes.
Ali Agha - SunTrust Robinson Humphrey: And then separately, the CapEx program that you guys have made out, a number of these EPA regulations are still coming down the pipe. Given your specific situation, how much variability do you think there is in that CapEx projection that you have depending on what the final EPA regulations across the board may come up? Is there much flexibility for you guys?
Dave Sparby: Ali, I think that our CapEx projections reflect the most expected outcome you appreciate going into this. We're well positioned. You saw in our report that we gave in December to all of our investors that we've anticipated most of the regulations as the industry expects them to be put in place over the next several years. We've also of course made significant investments in the past anticipating this. So although I think we could see, especially in later years, some variability, I think our CapEx as it reflects what we anticipate from EPA is probably pretty close.
Ali Agha - SunTrust Robinson Humphrey: In your assumptions you've laid out, you've assumed equity of around $75 million for DRIP, et cetera. Looking at this CapEx program, can you just remind us again when do you think you would be in a position where you would start to need external equity beyond that?
Dave Sparby: What we said, Ali, is we don't need equity in 2011. As we approach the end of the year, we'll evaluate both market conditions as well as our CapEx requirements and we'll provide some additional guidance perhaps in that regard.
Ben Fowke: Ali, just to the point to it, the analyst meeting that we had in December, we laid out our five-year plan. And obviously CapEx is modified a little bit. But over that five-year timeframe, we kind of anticipate that they might be up to $800 million of just common equity, excluding the DRIP program.
Dave Sparby: That's in '11 through '15, and it's in the slides I have presented, Ali.
Ben Fowke: Yes, Ali, it's one of the reasons why rate base grows faster than our long-term earnings growth range.
Dave Sparby: And the dividend plan is still the same, which will be slightly lower than EPS growth.
Ali Agha - SunTrust Robinson Humphrey: How consistent would you like to say?
Ben Fowke: It's been steady and consistent as you know.
Operator: And our next question does come from the line of Ashar Khan with Visium Asset Management.
Ashar Khan - Visium Asset Management: Could you just remind us when is the next Colorado rate filing expected?
Ben Fowke: Well, Ashar, we're currently in a gas case right now and the Commission has required that we file before April 2012. That's all the guidance I can provide to you at this time.
Operator: And our next question does come from the line of Neil Kalton with Wells Fargo Securities.
Neil Kalton - Wells Fargo Securities: Just an update on the High Plains Express, because I think there was a study recently conducted out in the west. It wasn't clear whether they had any implications on the timing of High Plains. So let's hear your latest thoughts on High Plains. Is this still looking at second half of the decade or is there a chance that we could see some capital flow in the next five years? And a follow-up on that is does your current five-year capital forecast include any CapEx for High Plains.
Ben Fowke: I'll kick it off and see if Dave or Scott want to add anything. Our five-year forecast doesn't include anything. I think High Plains is probably going to be in the study mode for quite a while. So I don't anticipate that we'll have them in our forecast anytime soon.
Operator: And our next question does come from the line of Jonathan Arnold with Deutsche Bank.
Jonathan Arnold - Deutsche Bank: You seem to have a little downtick in residential usage normalized in the fourth quarter? Give us some insights into that and then maybe marry it together with decision to slightly bump the sales forecast for 2011.
Dave Sparby: First of all, your observation is correct. There was a little bit of a downtick in residential in the fourth quarter. Some of the economists here, Jonathan, have suggested that the consumer is seeing some increases in CPI, but yet the unemployment rate is staying pretty steady. So although they are paying about 15% more for things like gasoline, there really hasn't been any more jobs. And that's probably one of the better explanations, which is a little bit of softness at the end of the year residentially. Now, we do feel better going into 2011 about the economy than we did in 2010. Those industries that were the best performing sectors in 2010 continue to be strong in 2011. There is a little bit of uptick possibly there, but we are seeing some recovery in a couple of sectors of manufacturing also. So we are slightly more optimistic in 2011 about the economy than we were in 2010.
Jonathan Arnold - Deutsche Bank: Could you maybe give us a bit more of a regional sense of what you're seeing across the service territory and where that bullishness is a bit of more pronounced?
Dave Sparby: The sales have been a little bit stronger from south to north and from west to east. So we see most of our sales growth in, for example, Texas where the energy sector has been very strong. We've seen sales growth not quite as strong, but strong in Colorado where we've seen not only some energy, but also some mining, for example, that we expect to pick up. And although Minnesota, which is a bit of anomaly, has one of the lowest unemployment rates, sales have been slow. And it's partially because we have a much more diversified economy here, including things like food and agriculture services, which have started to look like they'll trend up, have just come to stabilize here in the fourth quarter.
Operator: And our next question does come from the line of Daniele Seitz with Dudack Research.
Daniele Seitz - Dudack Research: I was interested in your detailed O&M and especially the 4% increase you anticipate for this year. Is it because of conscious cost control relative to 2010? And do you think that 4% is a trend, or is this just because of timing?
Dave Sparby: When you look at that 4%, you have to keep in mind, as Ben has talked about, the amount of plant that we've been adding over time. And you look at 2011 and it'll be the first full year of Calpine. It is a partial year of additional expense for Comanche. We've got a full year of Nobles here. And together, that's more than $20 million just to serve the additional generation plant. Now, we've got about $20 million of additional in benefits as a result of pension expense, and of course there is about $20 million in labor increase component on top of that. So the 4% is pretty easily explainable. When you take out the new plant, it's less than 3%.
Ben Fowke: It really reflects to what we think our trend line would be going forward. I mean to Dave's point, we were increasing rate base. We're putting money into the infrastructure, doing the things I think our stakeholders want us to do.
Daniele Seitz - Dudack Research: So you can stick to that 4% to 5% rate over time as well?
Ben Fowke: It's what we've been doing over the last five years basically. But I think what you're driving at is it takes a lot of productivity improvements to keep it there. And that's what we work on.
Operator: And our next question does come from the line of Dan Jenkins with The State of Wisconsin Investment Board.
Dan Jenkins - The State of Wisconsin Investment Board: The first question I had is related to your Texas electric case, which you expect rates to be effective here pretty soon. Given that you are in settlement discussions, what's kind of the range, U.S. for $48 million? As far as the parties you're in discussion with, what were their last proposals?
Dave Sparby: We can't discuss settlement negotiations. They've filed no testimony at this point.
Ben Fowke: I think we are making progress.
Scott Wilensky: Yes, we are making progress. We've actually filed with DoJ to set a date to either file a settlement February 11 or to obey procedural schedule. We think we'll be on target for that. And we'll share the results of that. But in this case, it's not they're trying to work forward with the settlement without the testimony in those stated position, as you were looking for us. So we don't have that lower benchmark.
Dan Jenkins - The State of Wisconsin Investment Board: How about the staff today? Do you have a final position?
Scott Wilensky: No party, including staff, actually has filed the testimony, staking out their position. Everybody concluded it will be more productive to work towards this settlement prior to doing that.
Dan Jenkins - The State of Wisconsin Investment Board: What was the customer growth for 2010? What did you use for your budget as far as customer growth for 2011?
Dave Sparby: The customer growth for 2010 was about 35,000 customers. That's electric and gas. It's about six-tenth of 1%. And for 2011, it's just a little bit better than that.
Operator: (Operator Instructions) Our next question does come from the line of James Bellessa of D.A. Davidson and Company.
James Bellessa - D.A. Davidson and Company: Quarterly PSCO earning per share were down about 4% due largely to the newly enacted and lower seasonal rates. Do you expect that same pattern to occur, that same type of earning decline in the first quarter because of the same influence?
Ben Fowke: Yes.
James Bellessa - D.A. Davidson and Company: And my research partner, Mike Bates, has a question.
Mike Bates - D.A. Davidson and Company: You guys have given some commentary on this in the past is that your conservation and DSM expenses, which we understand are recovered in your riders. It seems think like you've said that you expect the rate of the increase to taper off herein. Can you give a little bit of commentary on what you expect for that line item this year and going forward?
Dave Sparby: Well, we've had a very successful year of course this past year with DSM and conservation reflected figures. In prior years, we finished the year about 1.3% savings, for example, in Minnesota. We do expect this coming year to be about the same; however, there'll be probably some additional programs that we'll see in other jurisdictions. So what we'll see is probably an increase this year, but it will not be as significant as we saw from 2009 through 2010.
Ben Fowke: I think the one thing to keep in mind too is that the bar increases for us as the incentive mechanisms that come with that do as well. So it's very much a part of our business. I think it's a reason why customer satisfaction is high. And I think our customers appreciate it. But every year, the challenge gets a little bit greater.
Dave Sparby: That is the bar gets raised.
Operator: And at this time, I'm showing no further questions in the queue. I would like to turn it back over to Dave Sparby for any closing comments.
Dave Sparby: Well, I want to thank everyone for participating in the call this morning. If there is any follow-up questions, please call Paul Johnson or any member of our IR team.
Operator: Ladies and gentlemen, this does conclude the Xcel Energy fourth quarter 2010 earnings conference call. If you'd like to listen to the replay of this conference, you may do so by dialing either 303-590-3030 or 1-800-406-7325. You'll need to enter the access code of 4395381. Those telephone numbers once again are 303-590-3030 or 1-800-406-7325 with the access code of 4395381. Again, we do thank you for your participation on today's call. You may now disconnect your lines at this time.